Operator: Good day, and thank you for standing by. Welcome to Apellis Pharmaceuticals Second Quarter 2023 Earnings Conference Call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today’s conference is being recorded.  I’d now like to hand the conference over to your speaker today, Meredith Kaya. Please go ahead.
Meredith Kaya: Good morning, and thank you for joining us today. Earlier this morning, we reported our second quarter 2023 financial results. We'll be happy to take questions from you on these results in the Q&A session. However, we'll be focusing our prepared remarks today on SYFOVRE, including feedback from the recent ASRS annual meeting, and an update on our comprehensive review of the rare safety events. With me on the call are Co-Founder and Chief Executive Officer, Dr. Cedric Francois; Chief Commercial Officer, Adam Townsend; Chief Medical Officer, Dr. Caroline Baumal; and Chief Financial Officer, Tim Sullivan. Before we begin, let me point out that we will be making forward-looking statements that are based on our current expectations and beliefs. These statements are subject to certain risks and uncertainties and our actual results may differ materially. I encourage you to consult the risk factors discussed in our SEC filings for additional detail. Now, I’ll turn the call over to Cedric.
Dr. Cedric Francois: Thank you, Meredith, and thank you all for joining us today. As Meredith said, we are going to take a different approach on today's call and focus the discussion on the rare events of vasculitis we have seen with SYFOVRE. We know you have questions, and we will do our best to answer as many of them as we can. But before we do, let me provide some overarching comments. First, I have never been prouder to be part of the Apellis team. The past few weeks have been challenging, and once again, the team has shown incredible dedication and resilience. Second, we had a strong second quarter. We reported approximately $90 million in total product sales, including $67 million for SYFOVRE, demonstrating the early strength of this launch. With more than 68,000 vials of SYFOVRE now distributed to physicians, SYFOVRE is having a positive impact on the lives of tens of thousands of patients across the United States. And third, SYFOVRE continues to demonstrate increasing effects over time. Data from our GALE long-term extension study showed a reduction in nonsubfoveal GA lesion growth of up to 45% between months 24 and 30 as compared to projected sham. These are incredible findings, further strengthening our understanding of SYFOVRE as an important treatment for patients with GA. With that, let's get into the discussion. Patient safety is our top priority, and we care deeply for the physicians who rely on us. We are conducting a comprehensive investigation into the potential causes of the events of vasculitis, working closely within the retina community. We do not know the cause yet, and realistically, we may never identify a singular cause. What we do know, however, is that these events have been very rare and sporadic, and that zero events were reported in our clinical studies. SYFOVRE is a newly launched drug in a new disease with a new mechanism of action. It is not unexpected that events may emerge when bringing a drug into the real world, but it is expected that we take them very seriously. Now, let's get into some of your questions. First, what do we know so far about these events and what are the visual outcomes for these patients? I will hand it over to Caroline to speak about this. Caroline?
Dr. Caroline Baumal: Thank you, Cedric. As we get into the details, I want to recognize the patients and physicians who have been impacted by these rare but serious events. I will reiterate what Cedric said. Patient safety is and has always been our top priority, along with providing physicians with the information they need to make the best decisions for their patients. Let me share what we know today. Overall, these events have been rare. We have confirmed seven events since our launch in March, and one additional reported event is being evaluated by Apellis. More than 68,000 vials of SYFOVRE have been distributed to physician practices. And based on our research, we estimate over 60,000 of those have been administered to patients. These events occurred sporadically. There were two events following injections in April, two in May and three in June. This is important because as the number of injections increased each month, there was not a corresponding increase in the number of vasculitis events. Each event happened between seven and 13 days following drug administration and all cases reported to Apellis occurred after the first injection.  We recognize that the numbers we reported on Saturday are slightly different than the numbers presented by ASRS. This is because we make determinations based on the information that we receive directly from the treating physician and following review by external retina and uveitis specialists. Given physician confidentiality, we must be careful in what we share regarding detailed patient information. Additionally, these are highly complex cases and are sometimes difficult to interpret. However, we are working closely with ASRS to make sure we are better aligned in how we evaluate each of these events going forward. It is still too early to know the outcomes for each of these patients. Retina vasculitis by definition is a severe inflammatory event that can potentially lead to significant vision loss. With standard of care treatments, we hope patients will recover, but this can take up to a few months. Of the seven confirmed patients reported to us to date, two have recovered vision nearly back to baseline. Two have severe vision impairment and are unlikely to be resolved, and three are still evolving. For the one suspected case, the patient's vision has already returned to baseline. Working with the physicians, we are monitoring each of these patients very closely.
Dr. Cedric Francois: Thank you, Caroline. The next question is why these events are happening. What are we doing to find the cause and what do we know so far?
Dr. Caroline Baumal: These are really important questions, and we have been collaborating with the retina community to better understand the potential factors contributing to these events. One of the first questions we asked ourselves was why we did not see this in the clinical trials. There is a robust process for evaluating safety in a clinical study. Patients are assessed by the trial investigator and all imaging from the study is reviewed by a mass independent reading center. Following more than 23,000 SYFOVRE injections administered in our studies to date, zero events of vasculitis have been reported. To confirm these findings, one of the first things we did upon receiving these case reports is go back to our Phase 3 data to make sure that nothing was missed. We re-reviewed all cases of intraocular inflammation and retina vascular occlusion, and confirmed no vasculitis events. Additionally, we asked the panel of retina and uveitis specialists to re-review all severe intraocular inflammation events, as well as two leading neuro-ophthalmologists to re-review our ischemic optic neuropathy events, both of whom further confirmed that there were no vasculitis events. We also know from our clinical trials that there was no indication of drug-related immunogenicity. Data showed no correlation between IOI events and any anti-drug antibodies, providing evidence that these events were unlikely to be caused by an immune response to either the peptide or to polyethylene glycol. These findings are important to our investigation as there were no changes in the formulation of the product between clinical and commercial supply.
Dr. Cedric Francois: Thank you, Caroline. So, if we did not see anything in the clinical trials, then what else are we looking into as a potential cause?
Dr. Caroline Baumal: The next important area we looked into was manufacturing processes and drug quality, and there is no indication that these contributed to the vasculitis events. No single manufacturing lot was implicated. No manufacturing issues were identified related to intraocular inflammation, and no quality issues or contamination such as endotoxins were found. There has been some confusion around SYFOVRE being a biologic and that these events may have been due to endotoxins. To clarify, SYFOVRE is not a biologic. It is a synthetic peptide that binds specifically to C3 and C3b. Levels of drug products endotoxin in all clinical and commercial batches of SYFOVRE are significantly lower than the reporting threshold and the FDA's expectation for ophthalmic dosage forms for injection. As for what else, we are continuing to investigate potential contributing factors. This includes looking into patient characteristics, as well as evaluating any variations from the clinical trials to real world. We don't have any answers on these today.
Dr. Cedric Francois: Thanks again, Caroline. Okay, now that we've talked about the investigation, let's turn to how the conversations have been with physicians over the past few weeks, and of course specifically here at ASRS. Caroline, why don't you start and then turn over to Adam to share what you're both hearing from the retina community and what this might mean for treatment going forward.
Dr. Caroline Baumal: Sure. Thanks, Cedric. Over the past two weeks, we have been deeply engaged with the physician community, and as Adam will share, also conducted some early market research to better understand perception and impact. Upon hearing of these events, the first thing I did was reach out to multiple physician practices to better understand their experiences with SYFOVRE so far. These are physicians who in total have administered thousands of SYFOVRE injections to date, and they have not seen any cases of vasculitis. Since then, we have continued to talk with dozens of leading experts in our field, and just spent the past four days with hundreds of retina specialists at the ASRS meeting in Seattle. Overall, physicians are eager for more information, and this will take time and more data. These are serious safety events, and physicians need to understand how to think about treatment. As a retina physician, I can attest that my colleagues are experts when it comes to treating their patients, especially with intravitreal injections. They're thoughtful in the decisions that they make, understand the risks associated with these therapies, and can effectively communicate the benefit risk profile to their patients.  I'll turn it over to Adam to share a bit of what he and his team are also hearing.
Adam Townsend: Thanks, Caroline, and good morning, everyone. The commercial team has also spent an enormous amount of time engaging with retina doctors over the past few weeks, and then in person this weekend at ASRS. Our number one priority is to make sure that physicians know that we are sharing information with them as quickly as we can, and that we are available to answer any questions they have. Following the member communication from ASRS, we have sent two communications to physicians, sharing additional color and context about these events, and held numerous calls with our physicians and our speakers. The feedback we are getting from the field is very consistent with what Caroline spoke to earlier. Additionally, and prior to the ASRS meeting, we conducted some early market research with US retina specialists, most of whom had previous experience treating patients with SYFOVRE. The key takeaways of this survey were that one third of the survey doctors said they plan to continue using SYFOVRE as they had been prior to the vasculitis events in both new and existing patients. The next third said they plan to continue using SYFOVRE in their existing patients, but may pause use in new patients, and the remaining third of doctors said they plan to pause treatment until they have more information or until their patients request treatment. Based on this, we do anticipate some sales bumpiness in the near term as many seek to gain more information. Our job is to be a thoughtful, transparent partner over these next few months. We believe it is important to continue to bring this treatment to the millions of people suffering from GA in the US and to be ready to bring this to patients worldwide very soon. A quick update on the latter. Our marketing applications are under review in multiple territories worldwide, including the EU, and we expect approval decision starting in early 2024. With that, Cedric, I'll hand it back to you. 
Dr. Cedric Francois: Thank you, Adam. Okay. Another question on everyone's mind is how we think these rare events will impact SYFOVRE sales and ultimately, of course, our cash runway, and how are we thinking about financing at this point? Tim, can you comment on this?
Tim Sullivan: Of course. Thanks, Cedric. As of the second quarter, we had $616 million in cash. Based on our current assumptions, this provides us with a runway into the first quarter of 2025. However, these safety events may impact the sales trajectory in the near term, but because it is all very new, we don't know the magnitude. We are monitoring demand very closely and in parallel, looking at our overall spend to ensure we are being disciplined and thoughtful going forward. We will be transparent with you, but we don't have all of the details for you today. As for financing, we are not under any immediate pressure to raise money. As we always do, we will evaluate multiple ways in which to finance the company at the right time and with our shareholders in mind.
Dr. Cedric Francois: Thank you, Tim, onto the last question then, because the ASRS was not just about safety for us this weekend, we also presented some exciting new data from our GALE long-term extension study. Caroline, can you please give us an overview about some of the new data that was shared?
Dr. Caroline Baumal: Yes, absolutely. Thanks, Cedric. We had a strong presence at ASRS this weekend, with seven podium presentations. Notably, we shared for the first time data from our GALE extension study reinforcing the long-term efficacy and safety of SYFOVRE. These data demonstrated that SYFOVRE reduced GA lesion growth by up to 39% in the monthly arm between months 24 and 30 as compared to the projected sham arm. What we were most excited about were the effects seen in nonsubfoveal GA patients as Cedric mentioned earlier. Between months 24 and 30, SYFOVRE reduced nonsubfoveal GA lesion growth by 45% in the monthly arm. This means that within three years, patients with nonsubfoveal lesions are seeing the rate of GA progression slow by nearly half. This is the first time we have seen flowing of GA lesion growth at this level in a large, well-controlled study. The safety profiling GALE was consistent with previously reported Phase 3 data. In addition to the GALE data, we also shared data using AI technology demonstrating the effect of SYFOVRE in protecting photoreceptor cell degeneration. Photoreceptor cells are responsible for visual acuity, and the degradation of these photoreceptor cells are significantly reduced upon initiation of SYFOVRE treatment. Both the GALE and the photoreceptor data, along with additional analysis presented over these past few days, contribute to the most robust dataset against GA, and reinforce the importance of treatment with SYFOVRE to help to protect against this irreversible disease.  I'll turn it back over to Cedric for closing remarks.
Dr. Cedric Francois: Thank you, Caroline. We are very excited about the data presented at ASRS. Although it has been a turbulent few weeks, we believe that we have a strong future ahead of us. We are closely monitoring the safety of SYFOVRE in the real world, and we'll formally update on the rate of events on our quarterly calls. We will not be commenting on future individual cases. We intend to handle this situation with the utmost integrity and transparency and do what is right for our patients, physicians, and investors. Blazing a new trail in geographic atrophy is not easy, but I am confident in the Apellis team, and we look forward to bringing SYFOVRE to patients in need worldwide. We are also proud of the impact that EMPAVELI is having on patients with PNH. Additionally, we continue to advance a robust clinical and preclinical pipeline to achieve our goal of improving the lives of people living with debilitating diseases by bringing new and innovative complement therapies to market.  Let us now open the call for questions. Operator?
Operator: Thank you. [Operator Instructions] Our first question comes from the line of Umer Raffat with Evercore. Your line is now open.
Jonathan Miller: Hi, guys. It's actually Jon on for Umer. I would love a little bit more clarity on the inventory in that 68k vials shipped as of this past weekend. Can you confirm how much inventory an average doc keeps on stock and how much inventory would be in the channel at any given time? Then furthermore, one bit of feedback that we were hearing out of ASRS is that there may have been a change from trial to commercial in the device. So, is there a supplier for the trials that had automatic draw-up of the SYFOVRE solution? Commercial docs have been complaining that draw-up from the vial obviously is challenging, and that's a little bit different for this product. So, is that something that could be driving this or something you've looked into?
Dr. Cedric Francois: Thank you, Jon. I will hand the first question over to Adam and then take the second one. 
Adam Townsend: Hi, Jon. It's Adam. So, yes, of the 68,000 vials, those have been distributed to physician practices. And we contacted our top prescribers, and on average, after those discussions, our top prescribers tell us they hold approximately a week's worth of inventory within their fridges. So, the vast majority of those 68,000 vials are likely not sitting in fridges. They're probably being used with patients. So, on average about a week held in a refrigerator. Hopefully that answers the first part, and then I'll hand back to Cedric. 
Dr. Cedric Francois: Thank you, Adam. So, I think Jon, we had an important objective this weekend coming to ASRS, and that was, first of all, to work closely with ASRS and get a very good sense of what is happening nationwide, i.e., how large is this problem? Is there something that we have missed? And secondly, is this rate changing over time, right? And so, what's very important here, and the key objective of this weekend and the research that we did in the past couple of weeks is that we can conclude that these events are very rare. And as Caroline mentioned earlier, that they don't increase over time, right? They’re sporadic in nature. I think that is really, really important. Then of course, comes the question, what is the potential etiology behind this? And as you can imagine, of course, and as you mentioned, the best starting point is what was different in the clinical trials versus the real world. We are going to be very methodical, and we are not going to engage in hypothesizing until we have data, and I think that is really important. That is something that we owe to physicians and to patients. In that investigation, the first step was to find out. is the drug product that we are delivering to physicians today, the same as the drug product that we used in the clinical trials? And the answer is yes. We are now going to take next steps to evaluate other factors that could have played role, but we will only communicate on those when we have more clarity.
Jonathan Miller: So, when you say the drug product is the same, you're specifically not talking necessarily about any of the additional materials that may have come along with the vial of drug like syringes, drop assisting devices, things like that.
Dr. Cedric Francois: All of these will be part of our investigation.
Jonathan Miller: All right. Thank you very much.
Operator: Thank you. Our next question comes from the line of Tazeen Ahmad with Bank of America. Your line is now open.
Tazeen Ahmad: Hi. Good morning, guys. Thanks for taking my questions. Also, I wanted to clarify upon some of your prepared remarks. So, Cedric, how are you thinking about on a go-forward basis, a risk mitigation plan? Maybe this is appropriate for Adam because Adam, you've talked about what you've done so far, but I think docs probably would benefit from guidance from the company going forward. And so, where are you in trying to plan that out? Secondly, I wanted to clarify, were all of the cases of vasculitis that were reported to ASRS, were they injected by retina specialists or were any of them done by general ophthalmologists? And then I have a follow-up.
Dr. Cedric Francois: Thank you so much, Tazeen. So, first of all, briefly on the risk mitigation and docs guidance, I think it is really important here that we have a label, that we have a way of - that we have thoroughly evaluated in clinical trials of distributing this product and using this product. And that is something that we, of course, want to stick to as closely as possible. We have communicated with physicians through letters to update them, and we will continue to do so to make sure that the routes of communication are thorough. We will continue to work with the ASRS. As far as it relates to practice mitigation steps, et cetera, we are going to be working with the retina community, but the retina community is better positioned than anyone, right, to talk about how this should be handled. I think again, the most important fact that we wanted to get our hands on this weekend was to understand the rate and the sporadic nature and to communicate that with ASRS to the community. So, I think that is really important. The vasculitis cases that were all reported I will look to Caroline, but I believe were all done by retina doctors. That is correct. Yes.
Tazeen Ahmad: Okay, thanks. And then lastly, I think ASRS said that there's been a suspected case that maybe hasn't been confirmed that occurred after the second SYFOVRE injection. I think this was not reported to you, but over the past weekend, have you had the opportunity to learn a little bit more about that particular patient's characteristics?
Dr. Cedric Francois: Yes, I think it's important to point out here that suspected cases are suspected for a reason, right, in the sense that we - there are many confounding factors that come into this. This is not an exact science, right? But the key thing is that after kind of a really thorough search nationwide, right, that we ended up realizing that we are very close to where we were a few weeks ago, right? There was not like a hidden tsunami that all of a sudden came our way. So, there will, in all likelihood, be new cases. We will take those and evaluate those. We will continue to work with ASRS, but with the knowledge that the rates and the sporadic nature of these events creates a risk benefit profile that physicians can then openly communicate about with their patients. 
Tazeen Ahmad: Okay. Thanks, Cedric.
Operator: Thank you. Our next question comes from the line of Anupam Rama with JPMorgan. Your line is now open.
Anupam Rama: Hey guys, thanks so much for taking the question. Maybe a question on how you segmented the physicians. So, maybe the one third of physicians who you've talked to that are remaining going to continue to prescribe, can you give us a sense of where these physicians fall into sort of what you've seen as amongst your top prescribers to date?
Dr. Cedric Francois: Adam? 
Adam Townsend: Yes, absolutely. So, yes, the one third of our market research, so they tend to be actually a mix. So, they're a mix of our top prescribers, large accounts, but they're also slightly smaller accounts. So, the SYFOVRE users within our market research had between one and 250 patients. So, you can tell there that there's a broad bolus of SYFOVRE use within that snapshot market research we did prior to ASRS. So, we tend to get usage across the large PE-backed accounts and smaller accounts as well. So, in our market research, that was consistent within that third.
Anupam Rama: Thanks so much for taking our question.
Operator: Thank you. Our next question comes from the line of Colleen Kusy with Baird. Your line is now open.
Colleen Kusy: Thanks. Good morning, and thanks for taking our questions. So, we've heard similar feedback on the needle in the commercial kit. Are there any progress - is there any progress made on potentially developing a prefilled syringe for SYFOVRE, and how long would that take to bring to market?
Dr. Cedric Francois: Yes, thank you Colleen. So, again, as mentioned earlier, our investigation around the ancillaries as part of the overall investigation, and of course, a prefilled syringe is an important objective for us. It was before the events occurred as well. That is unfortunately something that takes several years of development, as was the case for Lucentis and Eylea as well. We are working very hard towards that, but that is not something that you should expect in the near future.
Colleen Kusy: That's helpful, thank you. And a follow-up. So, at least one of the patient's vision did recover encouragingly. Anything notable about that case that you think can be applied if future cases come up? Any guidance on how you think the best treatment for these cases would be in the future?
Dr. Cedric Francois: Caroline?
Dr. Caroline Baumal: Thank you. As I presented earlier in this talk that two of the patients have recovered vision nearly back to baseline, and three cases are still in evolution. What I would say is that these cases are so rare and complex, it's difficult to make any interpretation about treatment guidelines at the present, but we will continue to communicate with the retina community and update them when we have some guidance.
Colleen Kusy: Thank you. And last one from us, just in Europe, have you submitted these vasculitis cases to European regulators, and do you expect that to be part of the review?
Dr. Cedric Francois: Of course. We communicate all safety events to all the regulatory authorities.
Colleen Kusy: Great. Thanks for taking that questions.
Operator: Thank you. Our next question comes from the line of Yigal Nochomovitz with Citigroup. Your line is open.
Yigal Nochomovitz: Hi Cedric, and team. Thanks for taking the question. On the survey you conducted, you mentioned that the market research was conducted before ASRS. So, just when you presented the survey to the physicians, was that just based on the contents of the ASRS letter from mid-July, or were there any further details that they were given with respect to either the retinal images or detailed aspects of the case studies presented on Saturday? Thanks.
Dr. Cedric Francois: Thank you, Yigal. Good hearing you. Adam? 
Adam Townsend: Yes, hi, Yigal. So, what we did was with the survey, we only used the letter from ASRS as the basis for that.
Yigal Nochomovitz: Okay, thanks. And then just being very specific with respect to the statement around drug product or manufacturing, I mean, are you saying that that excludes the potential of the underlying mechanism of action of SYFOVRE on C3 inhibition? Or does drug product and manufacturing just apply to the way the excipients were produced or any other aspects of the manufacturing process, but not necessarily the mode of action itself?
Dr. Cedric Francois: Yes, so the mode of action is going to be part of the broader investigation, but again, the mode of action was the same in the clinical trials, of course, as it was in the real world. So, again, no answers there yet. All we can say is that the product that was manufactured and used in the clinical trials is the same product as the product that we are distributing to physicians to date, all within the same specs and the same manufacturing process.
Yigal Nochomovitz: Okay. And then I know Caroline mentioned a few times, these are highly complex cases, and I don't think I saw in the ASRS slide any demographics other than GA. Is there anything you can say, any potential commonality in terms of comorbidities or other conditions or disease conditions that may be at least a hypothesis that you're going to pursue, or are these all just highly divergent, highly complex and no clear way to pursue a hypothesis other than obviously the commonality of all having GA?
Dr. Cedric Francois: Thank you, Yigal. These cases are so rare that as you can imagine, kind of trying to find commonalities between patients requires something that - would require a much larger numerator. So, we're going to continue to track it and continue to investigate, but right now all we have done is be able to exclude manufacturing. The rest will be subject to further research. 
Yigal Nochomovitz: Okay. Thanks, Cedric.
Operator: Thank you. Our next question comes from the line of Steven Seedhouse with Raymond James. Your line is now open.
Steven Seedhouse: Good morning. Thanks for taking the questions. I have a commercial one and then the follow-up for Caroline, if I could. Some of the numbers that we now have enhanced, so 42,000 vials distributed to offices in the second quarter, 60,000 per the ASRS letter as of July 15th. That implies - if we back out 1Q as well, implies like 8,000 or 9,000, let's say in the first two weeks of July that were distributed, and then we have the 65,000 number on July 21st, and 68,000 on July 29th that you're updating today as well, which would imply like 8,000 vials distributed in the second half of July. So, can you just corroborate that math? I mean, I appreciate you said that you expect some sales impact and certainly the survey work suggests that, but it really does look like the first half and the second half of July had about the same number of vials distributed.
Dr. Cedric Francois: Thank you, Steve. Adam?
Adam Townsend: Hi, Steve. Yes. I think your math is right, but one thing to think about is this week and - sorry, the week just gone, and this current week is obviously the ASRS weekend. So, a lot of physicians are actually here, or were here in Seattle. So, we always calendarize some bumpiness for this week as physicians tend to attend these conferences. But the orders for vials are continuing and have continued throughout the last couple of weeks, as your math explained.
Steven Seedhouse: Okay, thanks. And for Caroline, just there seemed to be some discussion during the ASRS panel presentation on Saturday that tap and inject, for instance, especially Vancomycin, is not necessarily an optimal approach for management of retinal vasculitis, if that is suspected, which it wasn't because it hadn't been observed in the clinical study. And based on the experience, I think something like intraocular steroids, especially early on might be a better approach and could maybe mitigate some of the worst outcomes now that this is a known possibility. So, is that characterization accurate and do you think visual outcomes could be improved just on that basis alone going forward if this happens in the future? Thanks.
Dr. Caroline Baumal: Well, as I said before, and thank you for that question, these cases are complex and they're not all bound by commonality. I think we have more to learn with our retina colleagues on management of these cases.
Steven Seedhouse: Great. Thanks.
Operator: Thank you. Our next question comes from the line of Phil Nadeau with TD Cowen. Your line is now open.
Phil Nadeau: Good morning. Thanks for taking our questions. A couple from us. First on the conclusion that manufacturing was involved, can you discuss a bit more of the basis for that conclusion, what assays were performed and generally what analysis did you do to conclude manufacturing is not an issue? 
Dr. Cedric Francois: Yes. Thank you Phil. So, as you know, the way these investigations start by looking into manufacturing are actually quite well standardized, right? So, our CMC group has a process to go through where lots specifically get investigated to find out that all of these cases were not related to one specific lot. We then look whether all the drug product that was shipped was within the specs that are predefined in our registrational batches and through the NDA, and then much more work around testing and evaluating whether the possibility of the introduction of a manufacturing problem was involved in these cases. And the answer to that was no.
Phil Nadeau: You may recall the Eprex situation about 20 years ago where Eprex was associated with red cell aplasia, and I think it turned out to be they changed like the supplier of the rubber stoppers, something that seemed totally innocuous. If that same situation had been the case here, would the analysis you did to look at manufacturing and supply have picked up that as a potential cause? Are they that detailed? 
Dr. Cedric Francois: Yes, if there was a change between what we did in the clinical trials in terms of how we manufacture the product and what we do now in the real world, we would've told you. So, this is all within the same specs and the same use and the same manufacturing process that we used in our clinical trials as well.
Phil Nadeau: Perfect. And then same question, at ASRS there were some questions from physicians on the per patient incident since it seems to happen after the first dose. Physicians were wondering what would be the risk of a naïve patient going on therapy? Do you have any estimates as to how many patients are on therapy? And so, what is the per patient incidence of a naïve patient getting the vasculitis?
Dr. Cedric Francois: Yes, thank you so much for that question, Phil. It’s very early, of course, to look into something like that. Of course, the majority of these estimated 60,000 injections in the real world are probably going to, or will probably have been first time injections in first time patients. So, that, of course, provides a huge denominator from which to work. And now we're going to find out, right? I mean, whether this is a first injection phenomenon, subsequent injections, we just don't know a lot yet other than the fact that it's an extremely rare event and that it is an event that is sporadic in nature, right? And I think that's really important to bear in mind is that the retina community ran through kind of a very traumatizing event a couple of years ago where a product was introduced, where an increased instance over time was taking place, where this product was sensitizing patients and more and more patients came out of the woodworks and physicians. That is absolutely not what is happening here. So, I think it's important to state that categorically.
Phil Nadeau: Last question from us. In terms of the path going forward, do you have any information on when ASRS could provide an update on its analysis of cases, or does Apellis have any timelines to providing a next disclosure on either your root cause analysis or the incidents of vasculitis?
Dr. Cedric Francois: Yes. So, as we mentioned, we will provide a quarterly update as it relates to the rates. And we are going to provide updates on the investigation when we have things to tell, right? So, we're not going to make an update unless we have real clarity around understanding this. And we are going to continue to work with ASRS, and we're very grateful for the partnership that we have with them.
Phil Nadeau: Great. Thanks for taking our questions.
Operator: Thank you. Our next question comes from the line of Justin Kim with Oppenheimer & Company. Your line is now open.
Justin Kim: Hi, good morning. Thanks for taking the questions. Maybe shifting gears a little bit towards GALE. Just in the context of the safety events and given that GALE is really delivering on showing those increasing effects over time, just wondering how you've heard the feedback in terms of patient participation in the US for the clinical study and whether sort of those subgroups are continuing on, especially given that these events aren't being observed in clinical study.
Dr. Cedric Francois: Yes, thank you so much for that question, Justin. So, first of all as, as you may recall, the number of patients that went from DERBY and OAKS into GALE was very high, right? Approximately 80% of the patients in the trial decided to go into this three-year extension study. We are actually, I think months away from having the first patient who has been on treatment for five years with SYFOVRE already in the GALE study. So, an incredibly rich and important database for us to understand not just the safety, but also as you mentioned, the efficacy. As Caroline mentioned earlier, if you have a patient with extrafoveal lesions, and as a reminder for those that are not familiar with this, these are patients who have GA in the periphery of their vision, so still with typically a good ability to read and recognize objects with their central vision, in other words, patients that can really benefit, being able to slow down the progression of the disease by something that looks like it's close to 50% is of course incredibly important. And with all of these things, of course we have these safety events, which we take very seriously, which we will investigate. On the flip side, the efficacy profile is also evolving and something very exciting, I think, for patients to look forward to.
Operator: Thank you. Our next question comes from the line of Derek Archila with Wells Fargo. Your line is open.
Derek Archila: Hey, good morning and thanks for taking the questions. Just two from us. I guess, first off, can you just remind us how many patients present with bilateral disease? And I just - do you think the ASRS notification may deter docs from doing injections in both eyes? And then also, I know you haven't said - you're still working on the investigation, but no similarities or commonalities between these patients experiencing retinal vasculitis has been determined. But if there is, would you expect future label language that could direct docs to the patients who are best suited for therapy? Is that something that would ultimately end up happening? Thanks.
Dr. Cedric Francois: Thank you, Derek. Let me start with the second question. It is way too early to talk about that. We are obviously in very close communication with the FDA on all of these things. That is something that we will evaluate and potentially do when more information is available. As it relates to bilateral patients, Caroline, maybe you could speak to that.
Dr. Caroline Baumal: Thank you, Cedric. As ASRS did present - they did present that one bilateral case. And I think that that is retina physicians who are very thoughtful in what they do. And we typically do include bilateral injections in our treatment paradigm. And however, that case does highlight that when we have a new product, it may be prudent to consider unilateral injection first time with use.
Derek Archila: Got you. Thank you so much.
Operator: Thank you. Our next question comes from the line of Eliana Merle with UBS. Your line is now open.
Eliana Merle: Thanks so much for taking the question. What's your understanding in the cases if all of those were given using the provided administration materials, or did any of the physicians choose to use, say, a different syringe for the injection or maybe deviate in any way from the proper administration procedures? And then just also you alluded to, you submitted the safety findings to the EMA. Just any color on that so far from those interactions? Thanks.
Dr. Cedric Francois: Thank you so much, Eliana. So, again, I think it's important to note here that we are very fortunate that the retina community is so professional and experienced with intravitreal injections, right? I mean, this is the heart and the bread and butter of these practices for the last 15 years or so. So, that is something that needs to be remembered here. Syringes, ancillaries, as mentioned before, will be part of our broader investigation, and we will comment on that when we have more information. As it relates to the EMA, we communicate, as I mentioned, everything of course, to these agencies. It becomes part of the evaluation. That evaluation with EMA so far has been going well. So, for now, we don't see any changes.
Eliana Merle: Great. Thanks. And just a quick follow up. In the patients that had IOI who didn't have retinal vasculitis, I guess did they have any vision impacts and any color on if those cases fully recovered? Thanks.
Dr. Cedric Francois: Yes, I think, that is a very important question, Eli, because there is a bit of a misconception with the way the slide was presented, that IOI cases and vasculitis are confusable with each other. Intraocular inflammation is very normal with intravitreal injections, and the rates of intraocular inflammation that we have seen in our trials and in the real world are in line with what we saw in the clinical trials and with what we saw or what you would see with anti-VEGF injections in general. So, on that end, we have no concerns. It's, of course, these cases of vasculitis, which do look like they are kind of a severe complication of severe inflammation that draw our special attention. So, I think that's an important difference there. IOI cases without vasculitis typically have a much better recovery. I don't know, Caroline, if you would like to add something.
Dr. Caroline Baumal: We've looked into - we're looking into every single case that is reported to us. And the rates of IOI that we've seen in the real world are consistent with the clinical study.
Eliana Merle: Great. Thanks so much, guys.
Operator: Thank you. Our next question comes from the line of Annabel Samimy with Stifel. Your line is now open.
Annabel Samimy: Hi, thanks for taking my question. I just wanted to go back to the methods that were used in clinical trials versus the methods that are being used in real world. Is there anything that you can sense from the way physicians are assessing a patient right now in the real world for treatment versus what was done in clinical trials where they - you obviously didn't see any of these cases of retinal vasculitis. And anything that you can gather from that to, I guess, develop some kind of risk mitigation plan or some kind of protocols that they can better assess the patients going forward?
Dr. Cedric Francois: Yes, thank you, Annabel. So, look, as mentioned before, we have as strong a desire as anyone, more probably than anyone, to try to understand this. But it is very important to be methodical in that process, which is something that we are very much dedicated to. So, we don't want to comment about what could be. We are going to look into everything, and when we have more information, we will share it. Of course, as a general comment, and that is how it works, right, clinical trials are different from the real world where there is much more variability on every front, and being able to understand these signals, which again, it's unfortunate, but it is not at all unique, right, many drugs when they go into the real world, will run into unexpected findings at that point in time. It is on the company, on us as a sponsor, to be diligent, to take these cases seriously, and to evaluate them and communicate them properly.
Annabel Samimy: Okay. Great. And then as far as the differences between what was reported to Appell versus what ASRS reported on, are you going to be getting these cases and reviewing them? And to what extent is your independent panel overlapping at all with the ASRS panel? Is there any overlap there, or are they completely different sets of physicians?
Dr. Cedric Francois: Yes, thank you so much for that question. So, the wonderful news here from my vantage point is that this partnership that we had with the ReST committee and with ASRS was a very thorough process and a collaborative process where many of these cases were shared overlapped, as you could see from that slide. And importantly, we set in stone that the rate is extremely rare and that it is sporadic in nature, right? And being up or down one case, we ended up remarkably close to each other, right? So, now, about the exact nature of these cases, occlusive, non-occlusive, depending on which experts you show this to, you're going to get different answers, right? But the most important thing here is you cannot count these cases as to one up or one down or even to their nature. But we are very much in the same ballpark, right? So, this is a very rare event, fortunately, and one, again, that is sporadic in its distribution over time.
Annabel Samimy: Okay, great. And if I could just follow up with one more, I know that a lot of people have been making the Beovu comparison. And maybe just to repeat in context for us one more time why this is not going the way of Beovu maybe in terms of the onset and the rarity. Can you maybe just speak to that again so we can sort of put that in context?
Dr. Cedric Francois: Yes, thank you Annabel. So, we're very fortunate because Caroline was actually the lead author on the lead paper on the Beovu investigation and the work that was done there. So, she's uniquely positioned to comment on this.
Dr. Caroline Baumal: Thank you, Cedric. I think that what we have seen with SYFOVRE is very rare. In contrast, rate of vasculitis with Brolucizumab was 3.3% in patients who are in the HAWK and HARRIER studies. And we did not see this at all in our clinical studies. Also, as you alluded to, the onset and the clinical features differ from what was seen with Brolucizumab.
Annabel Samimy: Different in terms of when was the onset?
Dr. Caroline Baumal: Well, so with Brolucizumab, the onset was typically after three to four weeks. And of note, having the events were more common with multiple injections with a shorter time interval between injections. And this played a role in their discontinuation of some of the Brolucizumab clinical studies. As well, Brolucizumab caused an arteritis and different sorts of features on clinical exams.
Annabel Samimy: Okay. Great. Thanks so much for the color.
Operator: Thank you. Our next question comes from the line of Joseph Stringer with Needham & Company. Your line is now open.
Joseph Stringer: Hi, thanks for taking our questions. Just curious, can you comment on the returns of vials and what visibility you have into this? More specifically, how many vials have been returned and/or how many practices have returned vials?
Dr. Cedric Francois: Thank you, Joey. Adam? 
Adam Townsend: Yes. Hey Joey. So, yes, we have seen some vial returns, but the number is actually very small.
Joseph Stringer: Okay. Thank you for taking our questions.
Operator: Thank you. Our next question comes from the line of Douglas Tsao with H.C. Wainwright. Your line is now open.
Douglas Tsao: Hi. Good morning. Thanks for taking the questions. Just first, I'm just curious, Adam, in terms of the market research for the physicians who said that they are either pausing altogether or the third who are stopping with new patients starts, I'm just curious if you got a sense from, and maybe this is more anecdotal, but just what would they sort of do they need to see to restart?
Adam Townsend: Yes, thanks for the question. So, within the research and with our conversations at ASRS this weekend, I think a lot of physicians are the ones that have said they would pause. They want to just see what happens over the next couple of weeks, right? This has all happened relatively quickly over the last few weeks, and they want to see that stability. They want to see if any more information comes out. They have found having conversations with their patients about a rate would be important, and they want to hear updates from Apellis in a very transparent way. That tends to be the theme for those physicians that are either pausing new starts or have decided to pause for enough time to get more information. That was a consistent theme at ASRS as also within our research. Caroline, I don't know if you want to add anything to that based on your positions? No, Caroline says the same thing. So, that's where we are.
Douglas Tsao: Okay. So, just to be clear, so Adam, so it's not as if they're waiting for some definitive sort of conclusion on this issue. There just seems like they're waiting more to see some stability, for lack of a better word, to sort of get a sense of now that this has come to life, that more cases aren't coming out of the woodwork, et cetera. 
Adam Townsend: Correct
Douglas Tsao: Correct. Great. And then just as a follow up, I think somebody asked, and I'm not sure maybe I missed the answer, but just do you know, of the 68,000, how many were first injections right now?
Adam Townsend: We don't know, but our assumption is that the vast majority are first injections.
Douglas Tsao: Okay, great. And then just one final quick one. Are you continuing with DTC work or? I know you had just started the Henry Winkler campaign, or is that on pause right now?
Adam Townsend: Yes, it's a great question. So, DTC has had a really good impact and has driven patients to have conversations about losing vision. I think we'll be very thoughtful moving forward how we use that. Now is the time for us to have really transparent open conversations with physicians. But the DTC impact and getting patients to go and check their vision, I think is a good thing for all patients of a certain age. So, I'm very proud of that work, but we'll be thoughtful in how we use that moving forward.
Douglas Tsao: Okay, great. Thank you so much.
Operator: Thank you. Our next question comes from the line of Laura Chico with Wedbush. Your line is now open.
Laura Chico: Hey, good morning guys. Thanks very much for taking the question. I had just one clarification question. I apologize if I missed this, but I think ReST noted there was one incident that occurred after a second injection, so I just wanted to clarify if I have that correct, but also how Apellis came to kind of a different conclusion there. And then I have a follow-up.
Dr. Cedric Francois: Yes, thank you, Laura. So, that was a suspected case. We need to look into that. Based on our findings all so far were first injections.
Laura Chico: Okay. Thank you. And then just kind of going back, Adam, thank you for the market research color. I guess, I realize it's premature, but what is your expectation around how the dosing interval frequency might evolve over time here now that we've kind of encountered these safety events. How do you think physicians are going to lean one way or another in terms of the dosing interval with SYFOVRE? Thank you.
Adam Townsend: Yes, you're welcome, Laura. Yes, absolutely. So, our assumption, and my assumption was, prior to these vasculitis, rare vasculitis events, the vast majority of physicians were using every other month type dosing. And I think this just confirms that again, every other month dosing will be used by the vast, vast majority moving forward. And I expect that to be consistent for the future. And I think as we progress through this and people look at the GALE data and the increasing effects over time, and once the physician segment that needs to get comfortable with these safety events gets comfortable, I think you'll start to see a little bit of a fluctuation as monthly dosing moves, but every other month will be the vast majority. Caroline, from your perspective, anything you want to add?
Caroline Baumal: I think that physicians are very, very thoughtful and very experienced with this type of medication. And the vast majority of physicians appreciate having a label that's so flexible. I've heard all different sorts of things, but I think between every six to eight weeks with every other month dosing is the preferred paradigm.
Laura Chico: Thanks very much, guys.
Operator: Thank you. I would now like to hand the conference back over to Cedric Francois for closing remarks.
Dr. Cedric Francois: Thank you very much. Well, in closing, thank you all for joining us today. It's been, of course, an intense couple of weeks for us, but we are very happy with how we come out of ASRS because we believe that we have gained significant clarity. We are ready to take on the next couple of weeks. We will continue the investigation and promise to continue to be as transparent as we have been. We are around later today and tomorrow. If you have any additional questions, feel free to reach out to Meredith. Thank you.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.